Operator: Hello and welcome to the Time Warner Cable Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now, I will turn the call over to Mr. Tom Robey, Senior Vice President of Time Warner Cable Investor Relations. Thank you. You may begin.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Candy, and good morning, everyone. Welcome to Time Warner Cable's 2015 third quarter earnings conference call. This morning, we issued a press release detailing our 2015 third quarter results. Before we begin, there are a couple items I want to cover. First, we refer to certain non-GAAP measures. Definitions and schedules setting out reconciliations of these historical non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings release and trending schedules. Second, today's conference call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which are based on management's current expectations and beliefs and are subject to uncertainty and changes in circumstances. Actual results may vary materially from those expressed or implied by the statements herein, due to various factors which are discussed in detail in our SEC filings. Time Warner Cable is under no obligation to and, in fact, expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Third, the quarterly growth rates disclosed in this conference call are on a year-over-year basis, unless otherwise noted as being sequential. And fourth, today's press release, trending schedules, presentation slides, and related reconciliation schedules are available on our website at twc.com/investors. With that covered, I'll thank you and turn the call over to Rob. Rob?
Robert D. Marcus - Chairman & Chief Executive Officer: Thanks, Tom. Good morning, everyone. I'm extremely excited about the operating momentum reflected in our third quarter results. Q3 was just the latest in a seven quarter string of improving performance. Subscriber growth was simply fantastic. Revenue growth accelerated and we continued to make significant investments in our network, equipment, products, and customer service. I'm particularly proud of what we've been able to accomplish amid a prolonged period of merger-related activity. It's really a testament to our well-thought-out operating plan and the commitment and focus of our entire team: all 55,000 employees who work tirelessly every day to make Time Warner Cable an even better company. Bill will cover our subscriber results in more detail, but I do want to call out a few highlights. This was, without a doubt, our best overall third quarter subscriber performance ever. We added 147,000 residential customer relationships, the first positive third quarter net additions since 2008. Both connects and disconnects were better than in last year's Q3 and the improvement was broad-based. We added customers in each of our geographic regions and fared well against all competitors. Customer relationship gross adds were up and churn was down footprint-wide and most notably in those areas served by U-verse and Fios. Over the last seven quarters, we've added roughly 570,000 residential customers against our three-year goal of adding 1 million CRs. That's a 4% increase in our sub base and well ahead of our original plan. Despite all the talk about a contraction in the broader, multi-channel video marketplace, our video performance was really good. We lost just 7,000 residential video subs in the quarter, the best third quarter result since 2006. And through the end of last week, we're within just 9,000 residential video subs of our goal of posting positive video subs for the full year. Regardless of exactly where we land, this is an incredible turnaround from two years ago. I'm pleased with our financial performance as well. Top-line growth was 3.6%, with a more balanced contribution from Residential and Business Services. Residential revenue increased 2.6%, the best organic third quarter growth since 2010. Business Services turned in yet another quarter of more than $100 million of year-over-year revenue growth. Total company adjusted OIBDA, while down year-over-year, came in a bit better than we anticipated. Consistent with our prior guidance, we still expect full year adjusted OIBDA, ex-pension expense, to be down less than 1% year-over-year. We continue to be single-mindedly focused on improving the customer experience. In Q3, we again delivered improvements in key customer service metrics. Care calls and repair-related truck rolls per customer relationship were down by 11% and 16%, respectively. Our on-time arrival rate, within our industry-leading one hour appointment windows, was 98%. And re-work declined by 11%. As you may have noticed, we've started to highlight some of these customer service improvements in our advertising. We're the first to acknowledge that we've got a long way to go, but the strides we're making are significant. And I'm incredibly proud of what the team has been able to accomplish. We also continued the aggressive rollout of TWC Maxx, including deployments of all digital video and Internet speeds of up to 300 megabits per second. We completed TWC Maxx in Kansas City in August and in Dallas earlier this month. Deployments are progressing well in Raleigh, Charlotte, Wilmington, Greensboro, San Antonio and Hawaii. In addition, we'll start the San Diego rollout in the next several weeks. In addition to Maxx, we continued to invest in our network and equipment across our entire footprint to enhance reliability and the overall customer experience. In the first nine months of the year, we've deployed: 2 million new set-tops, all of which run our Cloud-Based Guide; 3.1 million high-definition digital adapters; and over 3 million advanced wireless gateways. Our investments in reliability and customer service, including TWC Maxx, are starting to bear fruit. Voluntary churn among residential subs is showing very positive trends. In non-Maxx markets, we've driven voluntary churn for each of video and broadband down 15% year-over-year. That's impressive in its own right, but in Maxx markets, voluntary churn is down around twice that. We're also seeing improved customer satisfaction across all geographic regions, with New York City and Los Angeles, our first two Maxx markets, posting the greatest improvements this quarter. So, to the sum it up, we're executing very well. And our customers are beginning to recognize the changes. In the meantime, the team is working well with Charter to obtain the required regulatory approvals for our deal and to plan for the integration of our companies. With that, I'll now turn it over to Bill Osbourn and then Matt Siegel, who will tag team the review of our Q3 results. After they comment on the quarter, the three of us, along with Dinni, will be available for Q&A. Bill?
William F. Osbourn, Jr. - Senior Vice President, Controller, Chief Accounting Officer & Acting Co-Chief Financial Officer: Thanks, Rob, and good morning, everyone. As Rob said, we're performing very well. Our third quarter looked a lot like the quarter that preceded it, with continuing progress in Residential Services and a strong performance in Business Services. With that as background, let me turn to the Q3 highlights, starting with customer relationships, where we once again performed exceptionally well. We gained 147,000 residential customer relationships in third quarter, making this is the best third quarter ever. The last time we delivered positive CR net adds in a third quarter was back in 2008. As in the preceding quarter, the Q3 residential CR performance was driven by a 9% increase in connects. The three key sales channels, inbound sales, online sales, and direct sales, continued to perform significantly better than a year ago. Disconnects improved by almost 5% year-over-year, even better than our Q2 performance. Third quarter churn improvement was driven primarily by improvements in voluntary and non-pay disconnects. PSU performance in Q3 was also outstanding. Residential PSU net adds of 462,000 were more than a 0.5 million better than in last year's Q3. The PSU growth was driven by strong triple play net adds. Residential triple play net adds of 218,000 were the best for a third quarter since 2007. It's noteworthy that we now have more than 5 million residential triple play customers. That's roughly a third of our customer relationships. Third quarter residential video subscriber performance was the best in nine years. We came within 7,000 subs of break-even for the quarter. That's 177,000 better than last year. And, as Rob told you, we're still driving towards positive video net adds for the full year, which would be a major milestone. Broadband volume was very strong. Residential net adds of 232,000 were the best for a third quarter since 2006. Through the first three quarters of the year, we've added more than 700,000 residential broadband customers. Residential phone net adds of 237,000 were the strongest for a third quarter in eight years. Through the first three quarters of the year, we've added more than 800,000 residential phone customers. The quality of the residential subscriber base continues to be very solid. ARPU per new connect is up slightly year-over-year and early life churn continued to be materially lower than a year earlier, just a couple of indicators that we're generating higher-quality connects. And similar to Q2, 37% of new customer connects in Q3 were triple plays, which tend to churn less than singles and doubles. With that, let's move on to our Q3 financial results. Total revenue of $5.9 billion was up 3.6% year-over-year. We grew third quarter Residential Services revenue by $120 million, or 2.6%, the best organic year-over-year Q3 Residential revenue growth since 2010. Residential ARPU per customer relationship of $106.42 was roughly flat with last year, with recurring revenue per customer up a tad and non-recurring revenue down slightly. Again, remember that we're driving very strong volumes of customer connects at promotional rates that are lower than the average of our existing customer base, so it's just math that our success in driving volume is increasing revenue growth, but, at the same time, tempering ARPU growth. Business Services posted another excellent quarter. Revenue increased $112 million, or 15.5% year-over-year, in Q3. This was the 17th consecutive quarter of year-over-year growth above $100 million. HSD led the way, up 20.1% and contributing more than half the Business Services revenue growth. The balance of the revenue increase came roughly equally from voice, which grew 15.9%, and wholesale transport, which was up 16.2%. It's worth noting that Q3 sales generally come in a little lower than Q2, due to the timing of E-Rate sales to educational institutions. Nonetheless, third quarter bookings of $20 million were just $1 million short of the record set in Q2. In summary, Business Services is performing very well and we're still targeting at least $5 billion in annual revenue in the Business Services area by 2018. Other Operations revenue declined 4.8% in Q3. Media sales revenue was down $25 million from last year, primarily due to lower political advertising revenue, which was $5 million in the third quarter compared to $26 million a year earlier. And third quarter Other revenue increased primarily due to RSN affiliate fees from Residential Services segment. These revenues are eliminated in consolidation. Next, Matt will cover expenses, cash flow, and the balance sheet. Matt?
Matthew Siegel - Senior Vice President, Treasurer & Acting Co-Chief Financial Officer: Thanks, Bill, and good morning. As noted, total company adjusted OIBDA declined $74 million, or 3.6%, in Q3. Excluding pension expense, adjusted OIBDA was down $46 million, or 2.2%. That's roughly $52 million better than the expectation we set last quarter. Adjusted OIBDA has been temporarily reduced by our proactive strategy initiated in 2014 to increase investment functions that touch customers, enhance the customer experience, and improve our operating reliability. Through these efforts, we expect we'll be able to connect more customers and retain them longer, which increases their value. In their remarks, Rob and Bill highlighted the impressive subscriber results our investment is already delivering. I'll cover the financial dimensions of these investments in my comments. As in recent quarters, we continued to invest aggressively in a number of areas in Q3, notably tech ops and customer care, which, together, increased $50 million, or 8.2%. Of course, a significant part of this increase was driven by our success in adding customer relationships. If you look at it on a per CR basis, tech ops and care grew a little over 5% year-over-year. And if you looked at it on a per-PSU basis, the year-over-year increase is even more modest. These functions are instrumental in driving a better customer experience. And investments in these areas go hand-in-glove with our network reliability improvements and TWC Maxx deployments. Furthermore, we increased sales and marketing expense in the third quarter by a similar amount, $52 million, or 9.4%. Unit growth was the big driver here, as sales and marketing per CR connect was actually slightly lower than last year's third quarter. Programming and content costs, which increased $135 million, or 10.2% year-over-year, continued to be the biggest drag on adjusted OIBDA. As in Q2, contractual affiliate fee increases of roughly $100 million and a contractual increase of around $30 million in Dodgers' rights fees were the two biggest components of the increase. In the Residential segment, average programming cost per video sub was $42.43, up $3.47, or 8.9%, from last year. Pension expense increased $28 million in Q3 and $81 million in the first nine months of the year. We expect full year pension expense to be approximately $190 million, a roughly $110 million increase over last year, due almost entirely to the decline in interest rates. Shared functions costs increased 7.2% to $763 million in the third quarter, as a result of higher compensation cost per employee and the lumpiness of certain expense categories, including maintenance and insurance. Through the first three quarters of 2015, adjusted OIBDA, ex-pension, was pretty much flat versus last year. We continue to expect full year adjusted OIBDA, ex-pension, to be down slightly, meaning down less than a percentage point versus last year. Moving down the income statement, third quarter adjusted diluted EPS was $1.62, down $0.24 from a year ago. Higher depreciation expense, which is clear reflection of the large capital investment we're making to accommodate increased subscriber volumes and Internet traffic as well as to improve the operations and future prospects of the company, continued to be a driver of lower EPS. Third quarter CapEx of $1.1 billion reflects strong subscriber growth as well as improvements to the plant and our aggressive investment in CPE as we continue to deploy new set-tops, DTAs, and modems. We also continue to invest in future growth of Business Services, where we connected 18,000 commercial billings to our network in the quarter. Through the first nine months of the year, we added 50,000 commercial billings to our network, representing almost $750 million in serviceable annual opportunity. Free cash flow was $441 million in the third quarter, up 19.8% year-over-year, helped by a positive move in working capital. At the end of Q3, net debt stood at $22.2 billion, down $801 million from year-end 2014. So to summarize, the business is very healthy and we're making tremendous progress on our transformation. We continue to believe that our subscriber and revenue momentum will translate into strong financial performance in 2016. With that, let me turn it back over to Tom for the Q&A portion of the call
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Matt. Candy, we're ready to begin the Q&A portion of the conference call. We would ask each caller to ask a single question so that we can accommodate as many callers as time permits. First question, please.
Operator: Thank you. Our first question comes from Craig Moffett with MoffettNathanson.
Craig Eder Moffett - MoffettNathanson LLC: Hi. Good morning. A question for you, Rob, about your New York City beta of over-the-top video over Roku and standalone, can you just talk about that product at all and what your ambitions are? It's striking, I think, that you've chosen instead of going in the direction of skinny bundles with that, to go with more of a full-featured service. What was the learning behind that? And maybe you could expand a little on your thinking and your expectations for that product.
Robert D. Marcus - Chairman & Chief Executive Officer: Sure, Craig. Let me take it in two steps. Let's first talk about the New York City beta and then we'll come back to skinny bundles. So the way I would characterize the New York City trial is really the next step in the evolution of TWC TV. So, when we launched the TWC TV app, which, of course, is our IPTV app, the goal there was to create an offering that was complementary to our traditional video product, to add additional screens on additional IP enabled-devices for customers to consume video. As we move forward and what we're trialing with this beta in New York, is we're going to move that TWC TV capability toward a full video offering that, in fact, could be substitutional for the traditional set-top box-based video product. And where we're headed is the ability of customers to access the complete video product without having to rent a set-top box from us, whether they use a Roku or they use ultimately another IP enabled-device. So what we need to accomplish that is, first, we need to ensure that that video product complies with Title VI of the Telecom Act in the same way that our traditional video service does, meaning emergency alert service, closed captioning, SAP, and all of those things that comply with the law. So we're doing that in the beta. Second thing we've got to do is ensure that we have a complete channel lineup. The TWC TV app already has a very significant channel lineup, but it doesn't include every single PEG channel. And in some markets, there are local channels that aren't yet included. So we need to make sure that that's in there. And then lastly, we really need to take the quality of the video picture from what I would essentially call an SD picture to an HD picture. So we're going to increase the resolution on those pictures to just deliver a better video experience. And then over time, you'll see us add additional features to the TWC TV app until it is, from an experience perspective, indistinguishable from the traditional video product, but with the added benefits of no need to rent a set-top box, and a much, much more streamlined provisioning process. No necessity for a truck roll, you can simply type in your username and password and you have video. So that's what we're trying to accomplish with the beta. Why we chose to offer the full complement of channels really is consistent with our strategy on video overall. We want to make sure that customers can have everything they have via the set-top box. That does not mean that we're not ultimately going to get to a place where we offer alternative bundles via that app as well. We're big fans of customer segmentation. We're big fans of giving customers choice. But right now – and we've been very effective at this, as you can see in our video numbers this quarter. We've actually tried to simplify our offerings, make them easier to buy for customers, and easier to sell for our reps. And that has driven us to kind of simplify our offerings, but that does not mean that in the fullness of time, we won't push hard on things like basic cable plus a premium or our TV Essentials product, both of which are variations on the theme of skinnier bundles. And the last thing I'd note is again this quarter, and this has been true for a couple of quarters now, about 82% of our gross video connects actually took our Preferred TV product. So, for all the talk about skinny bundles, we're doing pretty well offering a full video product.
Craig Eder Moffett - MoffettNathanson LLC: That's helpful. Thanks, Rob.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Craig. Candy, next question, please.
Operator: Thank you. Next question is Marci Ryvicker with Wells Fargo.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. You talked about in your prepared remarks that revenue in residential video is up due to volume and promotions. And I feel like we've seen this before at Time Warner Cable. So the question I'm getting at is what's different this time around when people go off the promotion? How are you going to keep people from churning?
Dinesh C. Jain - Chief Operating Officer: Look, I think the first thing just in preface is to say that what we're doing, what we did this quarter, is very similar to what we did the last three quarters, which is that we offer a quality $90 triple play offer out there. And we are very upfront with customers when we're offering that, that at their 12-month anniversary, the price will roll up $20. I think a combination of that transparency on the front-end, coupled with really working hard to nail the customer experience through the life of that first 12 months, will give us a much better churn profile than the past experiences that you're talking about. I think in the past, in one occasion, the value of the going-in bundle was so high that when the prices rolled, the differential was just way too high. That's not the case this time. So we feel really good about what's going to happen. And the very earliest customers that we put on in the triple play bundle last year have started to roll and our experience with those customers has been very positive so far.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you very much.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Marci. Next question, please.
Operator: Thank you. Next question is Phil Cusick with JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. A couple, if I may; first, same theme, different question, I'm trying to square the revenue per user flat year-over-year with the decline in voluntary churn. And so as I think about that voluntary churn decline, is that in line with sort of a decline in people calling up and looking to leave or is that better save efforts that are costing you? How should we think about that? And that I have another question. Thanks.
Robert D. Marcus - Chairman & Chief Executive Officer: Okay, Phil, it's Rob. I'll try that. First, I think the answer to the second part of your question is both, fewer people attempting to leave and better effectiveness on our retention efforts. In terms of the relationship between the decline in voluntary churn or decline in churn generally and revenue per user, it's kind of a strange dynamic going on. So we talked a lot about the impact of increases in connect volume on ARPU in that the customers we're bringing on in greater numbers now generate less revenue per customer than our existing base. So we drive higher revenue, but lower ARPU. On the other side, on the retention side, interestingly, the customers we're losing right now are also lower than the existing base. So ironically, when you lose fewer of them, you actually have a negative impact on ARPU. And these strange dynamics are why I counsel against putting too much emphasis on ARPU and more emphasis on the combination of both rate and volume and what it means for revenue growth
Philip A. Cusick - JPMorgan Securities LLC: Okay, thanks. And then, separate, totally different side of the business, can you talk about the Enterprise partnership across the cable companies? How should we think about that impacting either any acceleration in business going forward or the durability of the business growth over time?
Robert D. Marcus - Chairman & Chief Executive Officer: Yeah, just to be clear, there is no such Enterprise partnership. There's been a lot of speculation about possibilities that could come from MSOs working together to explore the Enterprise space, but there is no formal partnership. I think it's an interesting possibility, but still just an idea. For our part, we are aggressively pursuing the Enterprise space, and, in fact, making decent headway on our own. The only catch is that that requires us to essentially rent network from other providers, whether it's other MSOs or other telecom providers, to serve customers who have locations outside of our footprint, which in the case of Enterprise, is more often the case that not. That piece of the product is inherently less profitable than when we serve customers with our own network, but it's still certainly an interesting business opportunity for us.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, Rob.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Phil. Next question, please, Candy.
Operator: Thank you. Next question is Amy Yong with Macquarie.
Amy Yong - Macquarie Capital (USA), Inc.: Thanks. I was wondering if you could spend a little bit of time just talking about the competitive landscape. I think DIRECTV is talking about growing video base and, clearly, you are on track to grow the video base. So who are you actually claiming share from? Is it traditional telco and any updated thoughts on Google Fiber? Thank you.
Dinesh C. Jain - Chief Operating Officer: I'll take the first part of that. I think that what we've seen so far, as Bill mentioned, 9% increase in connects. And that's coming, we believe, broadly from all the areas that we operate in and against all the competitors that we're seeing in the marketplace. We're doing particularly well in areas like L.A., where we've rolled out Maxx, and we've seen some really good growth in connects out there. So I think it's pretty even across the base.
Robert D. Marcus - Chairman & Chief Executive Officer: So, Amy, just to respond to the last part of your question about Google, I probably should've mentioned this in my proactive remarks, but, at this point, we're really still only seeing significant Google activity in Kansas City. Austin is in very early days. And Raleigh and Charlotte are still in just the announcement phase, as is San Antonio. So we're talking about Kansas City. And in Kansas City this quarter, our gross connects improved and our churn was down, so I'd argue we're competing well against Google also.
Amy Yong - Macquarie Capital (USA), Inc.: Great. Thank you.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Amy. Next question, please
Operator: Thank you. Next question is Richard Greenfield with BTIG.
Rich S. Greenfield - BTIG LLC: Hi. A couple of questions, one, just from the standpoint of you're sitting in front of the FCC and DOJ with essentially a pitch of how this transaction is going to be in the public interest. And just wondering, given how much better you're doing and looking at Charter's results, how much better they're doing in terms of providing services, what's the biggest takeaway that investors should think about in terms of how this transaction is going to end up giving even better service to the public through the combination? And then, too, just as you think about all the changes in how bundling is happening, we've heard companies like Disney, obviously, talk about smaller bundles hurting them, where they're getting cut out, wondering if you're seeing regionally any differences between large and small markets in terms of how number of channels or size of package is changing, have you seen notable variations by market at all?
Robert D. Marcus - Chairman & Chief Executive Officer: Okay, Rich. Let me take the second one first. The answer is no, we're not seeing any meaningful differences. I still believe that the headlines are way ahead of the reality on this. It's not to say that the trend doesn't exist, but, for our part, we're gaining video customers. And we're doing it largely on the back of a triple play offer that includes our Preferred TV offering, which has all of the channels, so at this point, no meaningful differences out in the marketplace. With respect to the reasons why the regulators should view the deal as being in the public interest, we've gone to great lengths to cover this in excruciating detail in our public filings. And I feel like any shorthand version of it that I give you today is going to be inadequate relative to those filings we've made. They're all available. And I would rather defer to what we've done in those formal filings, rather than try to do it live.
Rich S. Greenfield - BTIG LLC: Fair enough, Rob. Could you just comment? Bob Iger specifically talked about how smaller bundles are hurting his company. Is there something unique to Disney versus what you're seeing in your business? Like why would they be seeing a problem where they're reducing their expectations for subscriber growth and you're not seeing a change in how bundles are occurring?
Robert D. Marcus - Chairman & Chief Executive Officer: You know what? Rich, I can't answer the question as to why it's happening. It's not happening as a result of subscribers that are subscribing to, let's say, ESPN through Time Warner Cable. And we haven't, at this point, perceived that we're losing any jump balls to competitors because they're offering skinny bundles.
Rich S. Greenfield - BTIG LLC: Thank you for clarifying.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Rich. Next question, please.
Operator: Thank you. Next question is Ryan Fiftal with Morgan Stanley.
Ryan Fiftal - Morgan Stanley & Co. LLC: Great. Thanks. Good morning. I have a follow-up question on the OTT product test and then one wireless, if I can. So, first, on the set-top box free product, I was wondering. How are you thinking about the target returns on that kind of sub versus the more traditional sub? And do you think it potentially makes sense to accept lower returns on that kind of sub if it enables you to go after maybe a target or segment of the market you couldn't reach otherwise?
Robert D. Marcus - Chairman & Chief Executive Officer: The truth, Ryan, is we're thinking about this as the place that our video product evolves to. So we're not necessarily thinking about it as a product that is designed for a particular segment, although, admittedly, it may expand the universe of potential customers by bringing in those types of customers that have been averse to having a set-top box in their family room. When we think about returns, we're going to have to figure out a model here that generates a return that is appropriate for the investments we are making. And that may require that we find a way to replicate revenue that currently comes in the form of set-top box rental revenue, but I think this is early days. The reason we're beta-ing this is to make sure that we understand how to do it technically and to make sure we understand what the provisioning experience is for customers and that, overall, it's good for them. If the product is attractive to customers, I'm fairly confident we're going to figure out a way to generate adequate returns.
Ryan Fiftal - Morgan Stanley & Co. LLC: Okay. That makes sense. And then, in light of the upcoming spectrum auctions, wanted to get your latest views on the longer-term importance of wireless to cable and also thoughts on comparisons of the U.S. versus Europe. The quad-play seems to be getting more traction there or at least the strategic importance of the quad-play seems to be a different perception there versus here. So I'm wondering if you think there's structural differences that drive that. Thank you.
Robert D. Marcus - Chairman & Chief Executive Officer: Yeah, lots baked into that question; let me start by saying that we have no intention of participating in the spectrum auction. We're going to continue to pursue our strategy of adding mobility to our offerings by continuing to deploy WiFi Hotspots. We think that adds compelling value to our high-speed data product, so we'll continue to pursue that. There's no question that mobility is important to customers, but I think whether or not we to need deliver a quad-play, so to speak, or add a cellular product to our current offerings, I think remains to be seen. Clearly, if the marketplace evolves in such a way that that's an offering that our competitors deliver, then I think we may need to revisit it. And I think that's what's happened in Europe, where you have complete overlap of footprints of wireless and wireline providers and that's the way the competitive market has evolved, but I'm not convinced that it necessarily has to go that way here.
Ryan Fiftal - Morgan Stanley & Co. LLC: Right. Thank you.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Ryan. Candy, next question, please.
Operator: Thank you. Next question is Bryan Kraft with Deutsche Bank.
Bryan Kraft - Deutsche Bank Securities, Inc.: Good morning. I wanted to see if you could elaborate on what you're seeing in terms of bad debt and non-pay disconnects. You mentioned that both are down, so I just wanted to understand what's driving it. And then also, can you comment on what your latest expectations are for the timing of the deal close? Thank you.
Robert D. Marcus - Chairman & Chief Executive Officer: All right. Let me do timing and then I'm going to pass it over to Bill to hit bad debt. So if there's one thing I've learned over the last couple of years, is that I'm not terribly good at predicting when regulators are going to act on our deals. So I'm not going to give you a projected closing date. What I will say is that we are working very well with Charter and with Bright House to ensure that everything we can do to put the regulators in a position to act on our deal expeditiously, we're doing. So we responded to all of the RFIs put out by the FCC. We've responded to the DOJ's second request. We're making very good strides at the states and local franchise levels. In fact, most of the states that we need to approve the deal have approved, and most of the local franchises that need to approve the deal have approved. So we're making good headway there. I think you're well aware of the FCC's comment schedule. Comments were due last week. The responses to those comments are due next week. And then, about 10 days after that, replies to those responses are due. So that kind of will enable the FCC to have a complete record. And my hope is then we'll begin to engage in earnest thereafter, but beyond that, hard to say. From an operational perspective, we're working to be in a position to close as early as this year, but admittedly, at this point, that feels ambitious.
William F. Osbourn, Jr. - Senior Vice President, Controller, Chief Accounting Officer & Acting Co-Chief Financial Officer: As far as bad debt, just to remind everyone, bad debt is expenses composed really of four items. You have your write-offs, which is a major component that occurred during the period. You also have late fees. You also have the change in allowance and actually those are the three main items comprising bad debt. And really, we've seen an improvement year-over-year on the write-offs. And we believe that's a reflection of the better quality customers that we're taking on and also the way we're working with those customers on a consistent basis across the company when we turn them over to a third-party collection expense. Which, actually, third-party collection expense is the fourth component of bad debt expense, although not a large component. So we have improved write-off levels and we also have improved late fees year-over-year, late fee collections, which has contributed to the improved or reduced net bad debt expense year-over-year, and we're hopeful that these trends will continue.
Bryan Kraft - Deutsche Bank Securities, Inc.: Great. That's very helpful. Thank you.
Thomas Robey - Senior Vice President-Investor Relations: Bryan, thanks. Candy, next question, please.
Operator: Thank you. Next question is James Ratcliffe with Buckingham Research.
James M. Ratcliffe - The Buckingham Research Group, Inc.: Morning. Thanks for taking the question. Two if I could, first of all, looking at telephony for a second, maybe not the hottest topic, but how are you seeing what the incremental revenue is looking like from the both telephony up sales for new customers taking triple versus double play and for existing customers and how much room do you think you still have to run in terms of up-selling telephony to the existing base? And secondly, Dinni, just going back to the topic of, call it, box-less services, how do you think about that from a network perspective? And are there prospects to use multi-cache or something like that for (39:55) network load associated with that? Thanks.
Robert D. Marcus - Chairman & Chief Executive Officer: On the telephone piece, I think it's fair to say that the incremental revenue we're generating from the fact that we're selling a whole lot more telephone than we have historically, is modest. We've talked about the fact that new connect revenue per customer is, more or less, the same year-over-year. And that's reflective of the fact that we've lowered the amount we're receiving for each type of cohort, but we're selling a whole lot more triples. And the theory behind that is we think we're delivering a lot more value to our customers. As a result, they're going to be happier customers. And we're going to retain them longer, which, in turn, means they have a greater lifetime value to us. So that's the theory of the case there. The revenue lift when we're adding phone is more modest than it has been in the past, probably in the nature of $10 versus $20-some-odd a while ago. Okay, I'm going to handle your second question as well, James. I think how we scale an IP video product that replaces our traditional video product is one of the reasons we're trialing. With today's technology, every one of those IP streams is a unicast, so it's consuming bandwidth just like a VOD stream. So we don't get the benefit of broadcast efficiency. And figuring out how to manage that on our network is part of the reason why we're beta-ing this particular offering. That said, we feel fairly confident about the capability of our network to ultimately deliver a video product that is IP-delivered, even a unicast IP video product. So that's where we're at.
Dinesh C. Jain - Chief Operating Officer: And it's important to note that about 10% of our customers are already using our TWC TV app and having that experience.
James M. Ratcliffe - The Buckingham Research Group, Inc.: Thank you.
Thomas Robey - Senior Vice President-Investor Relations: Great. Thanks, James. Next question, please.
Operator: Next question is Mike McCormack with Jefferies.
Michael L. McCormack - Jefferies LLC: Hey, guys, Thanks. Rob, you pointed out, I think, directly in your prepared remarks regarding U-verse and Fios doing well in those areas. I suspect you'll continue to do well in U-verse, but I guess just thoughts on the competitive landscape, whether or not DIRECTV is getting more aggressive and maybe whether or not you're just seeing Fios focusing more on the mobile side. And secondly, maybe if you can comment on moving to an apps-based world, how pervasive you're seeing password sharing and if that's going to become a problem on the mobile streaming app?
Robert D. Marcus - Chairman & Chief Executive Officer: Let me take the password sharing question first. At this point, we don't see that as a real concern. And we do have the ability to, via DRM, ensure that a single password is not used concurrently more than X number of times to ensure that we control abuse of the passwords. So I think there are methods for taking care of that issue. At this point, it's not a tremendous concern, given where we are in the rollout phase, but it's something that we'll clearly pay attention to going forward. In terms of the Fios, U-verse competitive environment, I think we hit this before, but we attribute our recent positive performance to what we're doing internally, more than any actions on the part of either Fios or U-verse or distractions that might've been plaguing U-verse, given the pendency of the DIRECTV deal or alternatively, Verizon's focus on wireless. We think it's mostly about us. Dinni, I don't know if you want to add?
Dinesh C. Jain - Chief Operating Officer: No. We've certainly seen the activity that AT&T, DIRECTV have put out it in the market, but it's too early right now for us to see what the effect of that is going to be.
Michael L. McCormack - Jefferies LLC: Great. Thanks, guys.
Thomas Robey - Senior Vice President-Investor Relations: Thanks, Mike. Candy, we have time for one more question, please.
Operator: Thank you. Our final question comes from Jonathan Chaplin with New Street Research.
Jonathan Chaplin - New Street Research LLP (US): Thanks. I just would love to follow up quickly on the over-the-top offering. It would seem to me that the savings you guys get from not having to deliver a set-top box and a truck roll should more than offset the revenue you lose from set-top box rentals. And it seems like you're not willing to state that specifically at this stage and I'm just wondering why, and what the other sort of puts and takes in the economics of the IP offering, video offering are? And then, I'm wondering if you can comment a little bit where you see broadband pricing going over time. Our analysis suggests that broadband as a product is underpriced. As part of the merger conditions, you made a concession to not moving towards usage-based pricing for a number of years. I'm wondering if that's something that you felt the FCC required, or that came up during the course of the Comcast, Time Warner Cable discussions and why you needed to offer that up as a condition. Thank you.
Robert D. Marcus - Chairman & Chief Executive Officer: Okay. So a lot there, let me start with your first question. And I think I might have fallen into this trap as well, but let me make very clear, our beta, our IP video offering, is not over-the-top. I know it's common to us to equate IP with over-the-top. In fact, this is a video service that we're delivering over our facilities, not over anybody else's. Over time, there may be a TV Everywhere component to this, just like there is one to our traditional video offering. But what we're talking about here is a managed video service over our network, so just to get that clarification out of the way. In terms of economics, I think we don't really know, but let me give you some of the puts and takes and I think you've isolated a couple of them. Clearly, the service model may be fundamentally different. The install process will be far less labor-intensive. And that's certainly a good guy in terms of the economics of doing the business. It's certainly a less capital-intensive model, in that customers will likely bring their own devices. And that will reduce the CPE capital requirements for us. By the same token, at least with today's technology, there may be a greater bandwidth requirement, so that's an offset the other way. And then, the care model, I think, really needs to evolve. And we don't yet know how that's going to work, and that's why I'm a little hesitant to declare exactly what the economics are. But I think it's reasonable to assume that this is a model that could turn out to be more interesting, more compelling for us, but, more importantly, we think it's going to be a great customer experience. And ultimately, that's what's driving our interest in pursuing this thing. In terms of the broadband pricing question, I can't give you an outlook on where broadband pricing is going, except to say we're going to continue to deliver more and more utility to customers. And, generally speaking, where customers get more value out of your products, they're willing to pay more. But what we actually charge is going to be a function of what the marketplace dictates. It's a very competitive market out there. And we're going to have to continue to price our products in a way that allows us to acquire and retain them. On usage-based pricing concession, as you describe it, I'll say it's not really appropriate for me to answer the question. Charter, as the acquirer, made the concession or offered up that they would not implement usage-based pricing. They don't implement usage-based pricing today, so I think it's a better question for Tom and his team as to what their thinking was on offering that up.
Jonathan Chaplin - New Street Research LLP (US): Great. Thank you.
Thomas Robey - Senior Vice President-Investor Relations: Jonathan, thank you.
Thomas Robey - Senior Vice President-Investor Relations: And thanks to everyone for joining us. To give you a little bit of advanced notice, Time Warner Cable's next quarterly conference call, which will reflect our fourth quarter and full year 2015 results, will be held on Thursday, January 28, 2016 at 8:30 a.m. Eastern Time, of course, assuming we're still around. Thanks for joining us. Have a great day
Operator: Thank you for your participation. That does conclude today's conference. You may disconnect at this time.